Operator: Ladies and gentlemen, welcome to the WH Smith preliminary results call. My name is Ruby, and I will be your moderator for today's call. [Operator Instructions] I will now hand over to your host, Carl Cowling, Group CEO, to begin. Carl, please go ahead.
Carl Cowling: Good morning, everyone. Carl Cowling here, Group CEO, and I'm joined by Robert Moorhead, our Group CFO and COO. Thank you for joining this morning's call. I hope you and your families are all keeping well. During this call, we will give you an update on our results for the 12 months ending 31st of August 2020 and also how we are planning for the months ahead. In a moment, Robert will take you through the numbers, including a brief update on current trading, and I will then take you through the operational performance for both Travel and High Street, and we will end with your questions. So before handing over to Robert, a quick intro from me and turning to Slide 3. And before I go any further, let me just give you a quick update on our position in the current lockdown. In line with government guidance that news agents and post offices can remain open, we have kept the vast majority of our High Street stores open, around 560 stores, and also kept all our hospital stores open as well as a number of mainline rail and airport stores. Now while footfall will clearly be under pressure, we do expect the pattern to be different to the first lockdown. However, as you would expect, we will continue to monitor it very closely. So back to these results, and I think it's important to start by saying that pre-COVID, the business is trading very well. As we highlighted in May, we acted immediately to protect both our colleagues and our customers as well as securing new financing arrangement to strengthen the liquidity of the group. And I'm pleased to say that despite the ongoing situation, we are in a much better position than forecasted back in August. WH Smith is a resilient and versatile group with a robust business model. And with a strong team we have in place throughout the business, we have proved throughout this difficult period that we are able to adapt and respond quickly to changing market conditions. We have reduced our cost base and implemented a very focused plan around increasing conversion and driving average transaction value as well as maintaining our focus on forensic space management. Internationally, our North American business acted fast to minimize operating costs, and we are seeing some encouraging early signs of recovery there, which I'll come on to later in the presentation. So we have positioned the group well to navigate our way through the current lockdown and beyond, and we are in a good place to take advantage of further opportunities that will exist over the coming months. The environment remains challenging. However, prior to this lockdown and based on trading conditions in September and October, I'm pleased to say that we've got our cash burn down to below GBP 10 million per month. I'll now hand over to Robert to take you through the numbers.
Robert Moorhead: Thank you, Carl. Good morning, everyone. I'll start on Slide 5 with an overview of the full year results and then look later at our liquidity. All the numbers I'm going to refer to are pre-IFRS 16, and there's some bridges to IFRS 16 in the appendix. So the year was dominated by the impact of COVID, which affected the whole of our second half. The first half had been strong, and we were well set up for the second and then COVID struck. As a result, total group revenue at GBP 1 billion was 27% below 2019. Headline loss for the year was GBP 69 million, slightly better than our expectations. The loss per share reflects the lower profits and the additional shares in issue following the 2 equity raises. We expect the weighted average number of shares for the current year to be around 131 million. Free cash flow in the year was an outflow of GBP 41 million due to the impacted trading performance, offset by active management of our cash. We acted fast as the pandemic developed, refinancing with an equity placing. We finished the year with cash on deposit of GBP 82 million and available liquidity facilities of over GBP 320 million. The Board will not be proposing a dividend for the 2020 financial year. So turning first to revenue. And so on Slide 6, you can see overall group revenue was just over GBP 1 billion, down 27%. Travel generated sales of GBP 553 million, down 32%, of which MRG contributed GBP 48 million. Excluding MRG, sales in Travel were down 38%. In the U.K., hospitals was the best-performing channel. High Street generated sales of GBP 468 million, 19% below last year, and have performed well since the original lockdown restrictions have eased, albeit some way below last year. In terms of like-for-like, you can see the story of 2 halves clearly here, with Travel declining by 78% in the second half and High Street by 38%. However, we had seen an improving trend since the lockdown restrictions were eased. And on Slide 7, you can see as lockdown eased throughout the world, we have seen a steady improvement in our sales performance. In High Street, we ended October with all our stores trading by our 22 welsh stores, and revenue had recovered to 92% of 2019. And currently, we have around 560 stores open. Travel, too, had seen a recovery. As we had done throughout lockdown, we continue to evaluate whether to open an individual store based on cash generation and passenger forecast. We were already planning conservatively prior to the November lockdown, assuming no change to the trends we were seeing in October. However, following this latest lockdown, we expect sales in U.K. Travel to reverse in the short term to levels seen in line with the first lockdown. By contrast, we are continuing to see improvements in North America. Trends there should benefit from the high domestic passenger mix, and we are seeing encouraging occupancy trends in Las Vegas. Consistently across the business, we have generated, as a result of our trading initiatives, a sales performance ahead of passenger and footfall data. So turning now to the income statement on Slide 8. So headline loss before tax for the year was GBP 69 million. We took decisive and quick action to manage our costs. The loss in Travel was GBP 33 million, of which the U.K. was a loss of GBP 1 million. Of the international loss of GBP 32 million, GBP 15 million related to MRG. High Street delivered a loss of GBP 10 million, a much better result than we had anticipated in April, reflecting a better trading performance and tight cost control. We took early action to restructure our cost base, which will deliver annualized savings of GBP 33 million for the group, and we continued to take cost actions in light of the current environment, including accessing the job retention scheme and reducing labor costs to match sales volumes. Financing costs at GBP 9 million reflect the refinancing and acquisition loans. We expect financing costs for the current year to be around GBP 12 million, and that led headline loss before tax at GBP 69 million. We also have a large number of nonunderlying items, which I will turn to now on Slide 9. Not surprisingly, we do have a large number of nonunderlying items. I've listed them all on this slide, and there's a lot more detail in the press release. But the important point here is that the vast majority of these charges are noncash. Whilst we have GBP 157 million of nonunderlying items, the cash outflow relating to them in the current financial year is expected to be approximately GBP 27 million, most of which relates to restructuring in our stores and corporate offices. The annualized benefits from this restructuring is approximately GBP 33 million. Looking ahead, we will have further COVID-related charges in the current year following some store closures in the High Street. The cash impact of this in the current financial year is expected to be less than GBP 3 million, and these closure cash costs will be significantly mitigated further by selling through the stock in the stores which we closed. So turning now to cash in more detail on Slide 10. And first, the free cash flow, which has also been impacted by COVID. The free cash flow was an outflow of GBP 41 million. We worked hard to manage our working capital and CapEx commitments as lockdowns fell, managing our payment profiles and utilizing government schemes and payment initiatives. Our working capital inflow of GBP 40 million reflects these actions. We saved around GBP 24 million of CapEx compared to our original plan and spent GBP 38 million in the second half, much of which was already committed. Where we did spend, it was focused on strategically important projects like Heathrow T2 and La Guardia in New York as well as ensuring investment in health and safety. So looking now at our net debt on Slide 11. Net debt at the end of the year was GBP 301 million, reflecting an overall movement in the year of GBP 121 million. Of this, GBP 41 million was free cash flow, GBP 47 million related to 2019 final dividend paid in January, and we had the acquisition of MRG. The proceeds from the 2 placings which we did in the year generated cash of GBP 312 million. The cash outflow on nonunderlying items mainly related to the MRG acquisition. Let me just also mention pension, which are in a very good shape. We completed the latest triennial actuarial valuation as at 31 March 2020, and it was a deficit of GBP 9 million. We will continue to make payments of GBP 3 million per annum into the scheme. So overall, that has left us with a net debt at the end of August of GBP 301 million and with a decent amount of cash of which GBP 82 million was on deposit. So turning now to liquidity on Slide 12. We took decisive action to strengthen our balance sheet and liquidity position in April, raising GBP 160 million through an equity placing and securing an additional GBP 120 million of bank funding. The bar on the left-hand side of this chart shows our access to liquidity at 30th of October. First, our RCF was GBP 200 million, which was undrawn. Then the liquidity loan of GBP 120 million, also undrawn. And then GBP 83 million of cash in the bank. All in all, a total of GBP 403 million. From that, we need to deduct around GBP 80 million, which relates to known commitments; delayed payments of rent, largely on the High Street; cash restructuring costs, which will be incurred this year from previously announced activities; and creditor payments due as we entered the lockdown in the U.K. And that leaves access to GBP 323 million of liquidity, which you can see on the right-hand side bar. We have worked hard to reduce our monthly cash burn. The improved trading performance in September and October, particularly in High Street, meant we generated cash in both months ahead of plan. The improved trading and good cash management resulted in our underlying cash burn in September and October to be GBP 5 million to GBP 10 million per month. Following the announcement of the second knockdown and assuming only our post office stores stay open in High Street, we now anticipate our underlying group cash burn in November to be around GBP 20 million, including any furlough mitigation. This is a prudent assumption as it will be better if more stores are open. And this compares to a cash burn of GBP 15 million to GBP 20 million in July and GBP 25 million to GBP 30 million in the full lockdown scenario back in the spring. We expect CapEx this year to be around GBP 55 million, although we retained some discretion over this spend. And in addition, we secured covenant waivers for both February and August 2021. So we have GBP 323 million of liquidity, giving us sufficient funds, which, along with operational levers, such as CapEx deferral, enable us to continue to operate should there be a prolonged downturn in our market. I'll now hand back to Carl to talk about the operational performance of the business.
Carl Cowling: Thank you, Robert. And before I go into the operational performance, I thought it'd be helpful to run through our key areas of focus across the wider Travel business. So turning to Slide 15. And as I said at the beginning of the presentation, we have worked hard to implement a robust plan across all of our channels and territories in Travel that places greater focus on initiatives within our control. This will support us in the immediate term and also position us well to emerge stronger when our markets recover. In addition, our multi-category proposition enables us to improve conversion and drive ATV. This puts us in a more advantageous position than single-category Travel retailers. So our key areas of focus are cost and cash management; increasing ATV and conversion; and by this, I mean extending our categories and our ranges to increase basket spend; an opportunity to work with landlords for further growth in space and location of stores. And as we go through the presentation, you will see that these initiatives are integral to each channel and territory. I will highlight the progress we are making and why it sets us up well for the future with plenty more to go for. Turning now to our U.K. Travel business and our performance by channel on Slide 17. I'll touch on each of the channels in a bit more detail in a minute. But you can see that each channel was significantly impacted by COVID-19 in the second half. If we look at the performance by half and starting with U.K. Air, total sales in the first half were up 3%, with second half total sales down 87%. Whilst we saw some early signs of recovery as lockdown restrictions were eased, passenger numbers stalled as quarantine requirements were widely imposed and extended in recent months. In our Hospital channel, total sales in the first half were up 13%, with second half total sales down 40%. You may remember that we kept around 130 stores opened right through the initial lockdown period, but sales in the second half were impacted by a fall in hospital visitor numbers and the almost suspension of elective surgery. And in Rail, total sales in the first half were up 2%, with total sales down 83% in the second half. However, as I said, we have used this time to focus on the business to be stronger as recovery occurs. So let's start with Air on Slide 18. We were really well positioned in Air going into the pandemic with growth in passenger numbers, good space in all key airport locations and high levels of penetration into our stores. Despite the significant reduction in passenger numbers, we're not losing sight of planning for the future, and we've been able to build on our strong position through focusing on increasing average transaction value and customer conversion, where a small increase to our low ATV of around GBP 7 can have a big increase in sales. We are currently seeing an increase in ATV in excess of 10%. We have started to extend our categories into health and beauty and well-being products, and we have worked with our landlords to improve the amount and quality of our space. A lot of this can be seen at our new store at Heathrow Terminal 2. So turning to Slide 19. You'll remember that last year, we opened our first combined WH Smith and Pharmacy store at Gatwick North. This store has performed above our expectations. Now following our success with this format at Gatwick, we opened this new flagship store at Heathrow Terminal 2 this summer. With over 5,000 square feet of selling space, this store also includes a pharmacy within store pharmacies and have extensive health and beauty range. We have also extended our lease here. Like Gatwick, our focus is on driving spend per passenger by introducing new categories, particularly health and beauty, extending our existing ranges and providing a one-stop shop for time-pressed passengers as they pass through the airport. We have been delighted by the feedback from Heathrow, our customers and our colleagues. But perhaps most importantly, this has translated into a significant improvement in spend per passenger through higher conversion in ATV. This is good for us and clearly good for the airports. While it's not appropriate for all locations, this gives us further opportunities to expand. And as you can imagine, we have been actively showcasing this store to many of the landlords. Turning to the next slide. As you know, the Hospital channel is an important business for us and prior to COVID-19, it was our second largest channel by revenue behind Air. Throughout the lockdown periods, including the current lockdown, we have committed to keeping our stores open in around 130 hospitals across the U.K. to serve NHS staff. While sales have been clearly impacted with no hospital visitors, these stores performed well. And importantly, we made life a little easier for NHS staff working at the time. Our Hospital channel is a great example of how we continue to innovate and have developed a strong customer offer tailored to each location. Throughout the pandemic, we also extended our grocery ranges across these stores to support NHS staff. In addition, we have a broad suite of brands, including M&S and Costa that we can adapt to meet the needs of each hospital. And our collaborative approach has resulted in stronger relationships with both the hospital trust and NHS staff. We believe there is scope for around 300 hospital stores in the U.K., and we are well placed to continue to grow. Turning now to Rail on Slide 21. We saw a similar picture in Rail to Air with a challenging second half impacted by travel restrictions. We did begin to see some signs of improvement throughout July and August. However, this was stalled by the government's work-from-home announcement at the beginning of September, and again, more recently with the current lockdown. Now whilst the trend of working from home is likely to impact passenger numbers in the future, our experience of how people shopped at different points in the day pre-COVID shows that we already have very low participation of all rail passengers, much lower than we see in Air. And what I mean by this is the stations were generally incredibly busy environment, so people were somewhat less inclined to visit or browse or rush our pinch points throughout the day. So by focusing on our ranges and driving ATV, we're in a good position to take advantage of fewer customers with more time to shop. In addition, Rail as a travel channel is not going to disappear and there remains significant investment in new lines with HS2 and Crossrail. There is also investment in renovating and redeveloping major stations such as Liverpool Street. And with a potential for extending our ranges and less competition for space, we remain well placed in this channel. And of course, we continued to manage our costs tightly. Turning now to Slide 22. As you would expect, we are focused on costs across all our channels. And as many of you will know, the rent structures in Travel tend to include minimum guarantees. We have worked hard to transition our contracts from fixed minimums towards variable rents based on passenger numbers. Although it's been a difficult decision, we have had to reduce headcounts right across the Travel business. It's not something we take lightly. However, it's essential to protect the longer-term health of the business. Going forward, and as our markets begin to recover, we would expect to benefit from these efficiencies. Turning now to our International business on Slide 24. And on this slide, you can see that we are now represented across the world. You'll remember that we acquired MRG, a leading U.S. travel retailer, at the end of 2019. And as you can see, North America now represents around 50% of our international store base with 277 stores. So let me just remind you why this acquisition is very attractive to the group. Turning to Slide 25. MRG are a very successful travel retailer with a proven business model and unique capabilities that set it apart from competitors as evidenced by its continued track record of winning tenders. The acquisition makes us the #3 specialty retailer in the U.S. travel market with a stable specialist brands. But the #1 and 2 players have 70% of the market. And with the vast majority of retail space coming up for tender over the next 10 years, we have a huge opportunity. The combination of WH Smith, MRG and InMotion now allows us to participate in the entire U.S. airport specialty retail market, which was recorded pre-COVID at approximately $3.2 billion. So we will be well placed to provide our expertise of forensic space management with MRG stable of brands as well as InMotion, making us a significant player going forward. We have already seen some success with further contract wins, which I will come on to. In addition, it's also important to remember, especially in the current climate that 85% of passengers in the U.S. are domestic, and we expect domestic travel to recover first. Our views that the management team at MRG are strong have been borne out over the pandemic where they move fast to secure the business, reduce the cost base and then to reopen as recovery commenced. Turning now to Slide 26. In terms of performance in the U.S., we are seeing some encouraging signs of recovery, with total revenue in October of 44% compared to 2019 levels. TSA data has shown a consistent steady recovery in passenger numbers week-on-week and is now at around 35% of 2019 levels. Also, the strong new business win rate from MRG has continued since acquisition, cementing our view that the business is well placed to continue to grow when the U.S. travel market fully reopens. MRG won further 8 stores in the second half. And along with InMotion have a further 39 stores won but yet to open through to 2023. And like we've done elsewhere, we will only open these where we get a good return and where the deal is reflective of passenger trends. The Las Vegas business is also improving resilience with more hotels opening each week and occupancy rates improving. Whilst many people drive to Vegas, we are also seeing a steady improvement in passenger numbers coming through the parent airports in Las Vegas. We've taken advantage of the exceptional circumstances and acted quickly to integrate the 2 businesses way ahead of our original plan with the integration of InMotion into MRG on track to complete by Christmas. We expect this to deliver savings of GBP 5 million per annum. So we now have a more focused North American business based in Las Vegas, and we are well positioned to win further tenders. So let's have a look at the recently opened stores at New York's La Guardia Airport on Slide 27. And on this slide, you can see a floor plan and some images of our suite of stores, which opened in September at La Guardia Airport. This is a new concept of element, featuring a walk-through shopping format, which is the first in North America. In fact, the first outside of [ GT3 ] retailing anywhere in the world. We are quite used to walk-through formats in Europe, but in the U.S., this doesn't really exist, and the other leading players have nothing to rival this retail execution. As you can see on your screen, this encompasses around 15,000 square feet of selling space, creating all the travel essential and specialty retailers you would normally expect, including a number of international brands such as Kate Spade and Kiehl's. What is different is that these are all operated by MRG with InMotion providing the technology offer. We believe there's plenty of opportunity for more InMotion implants into MRG as well. And drawing on MRG's knowledge of the market in Las Vegas, InMotion will also open their first resort store this financial year. So as you can see, with our expertise with store formats and space management and MRG and InMotion's retail offer, we really are well placed to succeed in new tenders as they come up. In total, we expect to open 21 new stores in North America this financial year. Turning now to the rest of the world on Slide 28. And as you know, outside the U.S., WH Smith still has a relatively small market share in the international NBC market, and there is great long-term potential for us to continue to grow our space. In terms of recovery, we expect this to vary by territory dependent on local restrictions and passenger profile. So as we have done in the U.K., we remain focused on areas within our control, including increasing ATV, renegotiating rents, extending leases and working with local government schemes to reduce staff costs. However, despite the disruption in the year, we have continued to win and open new stores where we have signed deals that reflect current passenger trends. New wins include units in Tenerife, Berlin and Schiphol. And we believe we are well positioned to benefit from further opportunities ahead as space becomes available. So before I move on to the High Street business, a quick recap on Travel and looking ahead on Slide 29. And as you've just heard, we've experienced a tough second half across all our channels, where we've responded quickly and are well positioned for recovery when it comes. In the U.K., our Hospital channel is performing significantly better than our other channels, and we expect this performance to continue. In Air, in terms of passengers, we expect domestic passengers to return first, particularly in the U.S., followed by international and then intercontinental. Now while we, like everyone, can't predict when the recovery will start, we are being prudent, as you would expect, particularly given the current lockdown. We are working on the basis that we won't see any improvement post this lockdown for the next 6 months. In Rail, as government restrictions are lifted and more people return to work, we expect to see a gradual improvement in sales. Outside of the U.K., our key areas of focus are to increase ATV, renegotiate our rents and manage our costs. And as I've said, we are seeing some encouraging signs from North America. So while these are challenging times, if you take into account our cost management, category developments and ATV initiatives that we expect to emerge operationally stronger from this pandemic. Turning now to the High Street on Slide 31. And as you know, we have a very clear strategy in the High Street, and it continues to be as relevant today as it has ever been. Growing our stationary business has been and will continue to be key to delivering on the 3 elements of the strategy: space management, margin growth and lowering our cost to serve. Despite the impact of COVID-19, I'm pleased with the performance of our High Street business. Throughout the first national lockdown, we kept 203 High Street stores opened and post offices in order for us to serve the communities that most needed access to vital postal and banking services. And as you would expect, we saw strong growth from our digital business throughout this period. In the current lockdown, [ news ] agents are classified as essential stores, and therefore, we've kept open all but 10 of our stores. As we have done in Travel, we have been focusing on initiatives within our control with a greater focus on ATV, where we have seen an increase of around 15%. Category developments, where we have introduced new ranges such as health and hygiene, electrical accessories and working-from-home ranges, and I'm pleased to say that this has resulted in an improved trading performance since the first lockdown, with the business returning to profitability across September and October, which is a great result, particularly given the High Street footfall was down around 35% prior to the COVID lockdown. Turning now to the next slide on our digital channels, Slide 32. It's worth reminding you of our key digital channels, whsmith.co.uk, funkypigeon.com and cultpens.com, all were growing and were profitable pre-lockdown. Since the first lockdown, these businesses have delivered very good growth. Funky Pigeon delivered record sales consistently over the key trading events, and our investments in whsmith.co.uk where we launched a new website at the end of last year delivered strong growth. We are also launching a new Click & Collect service for whsmith.co.uk investment. Similarly, our specialist pens website, Cult Pens, continues to deliver good growth, expanding its fulfillment center and launching an extended luxury pen range, including, for the first time, a full range of Montblanc pens and accessories. Turning now to the next slide. As usual, we have worked particularly hard at managing costs during the year, delivering savings of GBP 23 million. These initiatives come from all parts of the business with the biggest contributor coming from rent savings, with an average rent reduction of around 45%. As you know, we have also worked hard over the past 10 years to create a very flexible High Street store portfolio with short leases, while our average lease length is now around 2.5 years. This has set us up very well to respond quickly to changing market conditions. So given the current environment, we will take the opportunity to close around 25 stores in the current financial year as their leases expire. This is always a difficult decision to make as it affects jobs, and we will no longer be able to serve those communities. It's vital that we retain a strong and cash-generative High Street portfolio. Given this rolling program, we, therefore, have further opportunity to renegotiate our occupation costs going forward and expect rent reductions to remain a key component of our future cost-reduction strategy. And even with years of savings, the High Street cost base is still substantial, and we continued to see opportunities for further savings. You can see on the table, our latest forecast for cost savings is up to 2023. This gives us a total of GBP 34 million over the next 3 years, including an additional GBP 6 million of rents in this financial year compared to 2020. And we will continue to update this chart each year as before. So turning to our final slide and looking ahead on Slide 34. So looking ahead, we are continuing to work on the basis that the challenging environment will continue. However, as you have just heard, we have taken some immediate actions in the short term to protect the business and to position us well for the future. The group is financially strong with good liquidity. We are an important retail partner for our travel landlords. As a result, we expect to benefit from more space becoming available in travel locations across the globe and also extending our user clauses to grow ATV. Our High Street business is cash-generative. And prior to the current lockdown, we were seeing improving sales trends supported by good growth in our online businesses and a return to profitability across September and October. And finally, while we remain cautious in our approach, we are a resilient and versatile business. We are good at adapting to changing market dynamics. And this, together with the operational improvements we have taken, including managing costs and the financing we have in place, puts us in a strong position to navigate through this time of uncertainty and benefit from the growth of our key markets. Thank you, and we will now take your questions.
Operator: [Operator Instructions] Our first question is from Tony Shiret of Panmure Gordon.
Tony Shiret: A couple from me. First of all, Robert, can you just give us a rundown of what the covenants -- the broad covenants are? I know that they're sort of not going to be assessed for the next year. But if you could tell us broadly what the covenants are, that would be fantastic. And secondly, on the Marshall's lease arrangements at La Guardia, it looks like they've taken on a head lease in the -- in that terminal. I know La Guardia is a small terminal, but I just wondered if you're going to move towards actually becoming sort of a landlord for other retailers in U.S. airports rather than just taking concessions yourself.
Robert Moorhead: Tony, thank you for your questions. In terms of the covenants, we have -- just to reiterate, we have waivers in place for February '21 and August '21. The covenant, we have one on leverage and one on fixed charges cover. I'm not going to give you all the numbers related to the -- but those are the 2 key ones. And then in terms of La Guardia, it's basically the -- the lease there is for all the specialty and news and gift retailing. So it's quite a standard model in the U.S. where the news and gift and the specialty may be run by one player. It is not a head lease in the terms of F&B or duty-free or luxury or anything like that. It is just our core categories in specialty as you would expect.
Tony Shiret: Okay. But within La Guardia, you would -- how much would WH Smith revenue as a percentage of the total take of that sort of whole arrangement be? Would you say roughly?
Robert Moorhead: Well, we are running all the 15,000 square foot of selling space. So we have all that. We just utilize other people's brands in there. So Kiehl's, for example, we will be running Kiehl's stores ourselves and be taking all the risk and rewards of doing that and sorting the product through Kiehl's. So it's a very consistent model in the U.S. for that where retailers like ourselves or like Lagardère or Hudson will do the same thing where they will be running stores which are branded Kiehl's or other retailers. So it's like a franchise, I guess, if we use a way to describe it.
Operator: Our next question is from Jonathan Pritchard of Peel Hunt.
Jonathan Pritchard: Two for me, really. The MRG, InMotion get together at H2 level. So one negative, one positive. Well, what was the biggest hiccup being to that? Are there any key personnel not moved over? Or what's the sort of the stumbling blocks there? And then that GBP 5 million you talked about, is that purely cost savings? Or is that a bit of sort of revenue benefit you're baking in? And then on the widening of the range of the wider group, who's the full guy in that? Obviously, if you could extend the stores, that'd be fantastic, but there must be some finite spaces. So which categories are -- we're seeing less of whilst you bring in and widen the range?
Carl Cowling: Okay. Thanks, Jonathan. So in terms of the first question. There hasn't really been a hiccup. I mean we were always intending to put InMotion into MRG. And actually, whilst the businesses were effectively hibernated in December and all the stores closed, it was kind of the easiest time to bring that merger together. We've got a very, very strong management team in MRG in Las Vegas. So Michael Wilkins is our CEO there. He is now the overall CEO of North America. And then we've integrated a lot of the InMotion team into MRG. And we think there's a lot of opportunity through putting InMotion implants into MRG stores and MRG helping InMotion to get into Las Vegas. So we see a lot of rich opportunities there. In terms of the GBP 5 million saving, that's all around costs. We're not, at this point, banking any upside in terms of extra new stores from the merger. That's all about cost savings. And in terms about the -- in terms of the wider-ranging point, what we're trying to do, Jonathan, is we're trying to get in airports more space and better quality space. And that's what we're trying to establish there with our partners in airports. And say, bringing together all of those essential categories, if you take out with North and look at the space that we've got in Gatwick North and compare that to the space that we had 3 years ago, we've got significantly more space. And also, we've got better quality space. It's closer to the flow of customers, and that's really the game here. I wouldn't say there's any particular losing categories, albeit we're constantly adapting our categories within the store. But there aren't any categories that we're retiring from. It's about more and better quality space for us. Does that answer your question?
Operator: Our next question is from Richard Chamberlain of RBC.
Richard Chamberlain: Three for me, please, guys. First one, U.K. Travel. I think you said that 60% of the store state is open. How does that vary between Air and Rail currently? And then just following on from that, I think, Carl, you mentioned that you're seeing slightly higher spend per pax already through new initiatives and so almost Rail, it sounds like the spend is a bit lower. So what's sort of driving those trends in those 2 channels? And then the third one is just on High Street. I wondered if you can give us an idea of the cost of the, I think, 25 or so stores that you're planning to exit from. Any sense of the sort of P&L and cash impact of that please?
Carl Cowling: Okay, Rich. But if I take the first 2. I mean we've got -- in terms of the stores we've got open in Travel overall, if you looked at sales pre-COVID, we've got stores open that reflect 70% of those sales. So in the main, we've got all of our large travel stores open with the exception of Gatwick South, Heathrow Terminal 4 and Heathrow Terminal 3 because those 3 big terminals are all closed. Outside of those 3 entities, all of our large stores are opened, where we've got lots of stores closed, a small satellite stores. And if you travel through London frequently, if you take Victoria Station, we've got one big store that takes GBP 6 million to GBP 7 million. And then there's 3 other little Victoria Stores. Those satellite stores will all be closed. So actually the store numbers makes it look like quite a few stores closed, but actually the addressable sales is quite a bit less. And then obviously, we're opening all of our hospital stores. In terms of your spend per passenger question, our ATV is up in all of our markets. Our ATV is up significantly in the High Street, is up in Rail and is up in Air. And we give an average of 10%. Recent trends have been slightly better than that in Air in actual fact. What's worked really well in Air is our health and our hygiene and our well-being ranges. So Heathrow Terminal 2 has driven that significantly as has Gatwick. And it'd be great to share with some of you around, some of those stores at some point in the future. I think Heathrow Terminal 2 for me, I don't think there's anything to rival that across the world. It brings together all of those essential categories under one roof. And customers love it because we've got a flow through of customers and they're picking up lots of different products. And I think that really is something quite special, and that's where we're seeing a lot of the growth can be through that. But those 2 stores are driving significant numbers. We're still seeing good results from Rail. And I think my point earlier in the presentation about Rail is we've all seen this at rush hour. It's just so busy in stations. And it's going to take a long time, I think, for the passenger numbers to return. But I think there's more we can do to make the most of the passengers that are there through better presenting the categories with them and giving them new products to pick up when they come through. Robert will take the third one.
Robert Moorhead: Richard, in terms of the P&L cost for these stores, the cost that we have still got to take into the P&L related to the redundancy of any people who leave from these stores who we can't reposition in other neighborhood stores, and then the kind of ancillary cost of closure like sort of removing the whatever stock we take out, the cost of reinstatement have all been taken into this -- in last financial year. So that sort of cost to come P&L-wise, it's probably [ sub ] GBP 1 million for those 25 stores. In terms of cash, slightly different story because, obviously, we'll incur the cash this year. I expect this to be well less than GBP 3 million, and that includes all the reinstatement costs because we will be able to recover a good portion of it through selling through the stock that in -- that is already in those stores, the sort of the cost of catalog of the stock in those stores as we close them. So they'll all go into a closing down sale or we'll return the stock into the network or we'll return the stock to suppliers. So I think the cash costs are going to be probably somewhere around GBP 1 million as well by the time we finish that process.
Operator: Our next question is from Kate Calvert of Investec.
Kate Calvert: Three questions from me as well. The first question is on minimum guarantees. Can you talk about the work you've done on reducing exposure to the rent guarantees? I mean I know there's not a typical contract out there. But do these minimum guarantees kick in when footfall returns at a certain level? My second question is on your new flagship with pharmacies. Obviously, it's early days, but how much higher is ATV versus your GBP 7 average? And the third question is on international contract wins. Have you got an update on the sort of pipeline outside the U.S.?
Carl Cowling: Thanks, Kate. So let me just take minimum guarantees, first of all. So I mean it really has varied across the world. And it's important to say that with some of our large contracts, the minimum guarantees that we had in place had a link to passenger deflators anyway. So a lot of contracts, many contracts have minimum guarantees. But quite a few of them were already linked to passenger deflating, so we have that protection. Where we didn't have that protection, we've got good relationships with the vast majority of these landlords. And yes, we talked to them about reductions and how we might trade through the current year and beyond. And a very, very vast majority of them have been very supportive in all but a tiny handful of cases. Some of those agreements are in place for quite a long period of time. Many of them are under review. And I would expect that for quite a few of the contracts, the minimum guarantees would return. But we would need to see passenger numbers significantly higher than where they are now. Again, for a lot of these landlords, because we sell a lot of essential goods in terms of the products that staff within airports might want to buy, it's very important to them that we're on site and that we're open and that we're trading and kind of working in partnership with them. So I imagine it's kind of been easier for us than others perhaps to have some of those conversations. So I don't see that answered the question, but it's quite a general because it really is. It really is landlord by landlord, and many of the contracts are very different in different areas across the world. But as I said in the presentation, we've significantly reduced our exposure on that. And I don't really have any worries of that rearing its head over the course of the year. In terms of our new flagship store in Heathrow Terminal 2, it's a significant increase. Because effectively, we've got all of the transaction value that we would have had before books and magazines. And then we have all of that kind of health and beauty increase. So we're seeing a significant double-digit increase in ATV. So our Heathrow Terminal 2 store, we have an ATV of above GBP 10 and our average is GBP 7. So it's quite significant for us. In terms of our pipeline outside of the U.K., Robert, do you want to touch on that?
Robert Moorhead: Kate, we have got a few stores that we've won and we get to open. We've got probably between 5 and 8 stores, and they're mainly in Europe. Carl mentioned Berlin, Tenerife and Schiphol as the obvious ones, but we will only open those as and when there are sufficient passengers to make sense to do that, and the rent deal is reflective of that as well.
Operator: Our next question is from Richard Taylor of Barclays.
Richard Taylor: Given some of the work you've done on the cost base, especially on rents -- on the rental agreements, in a scenario of sales recovery, how should we think about the margins in your businesses? So sort of U.K. High Street doing 10% margin, U.K. Travel doing 17%. Do you think under a sales recovery scenario, you can do those margins again? Or given the reductions of the cost base, could margins actually improve? Any thoughts on that would be great.
Robert Moorhead: Richard, so I'll take that one. I mean I think in a recovery scenario, then there's no reason why we shouldn't be getting back to the margins that we had before, particularly in Travel. But there's an awful long way to go here, and there are an awful lot of moving parts and a huge amount of uncertainty. So I think it's a future-looking question. That is certainly where we would be aiming to get to as a business. There may be some efficiency gains, particularly in Travel where we might be able to take some cost benefits of not -- of driving efficiencies through the labor line, for example, not putting back labor as fast as the sales growth, so getting some efficiencies that way. But I think to get back to 17%, that was sort of market-leading EBIT returns. I think we would like to see we can get back there.
Operator: Our next question is from Lorenzo Margiotta of Bank of America.
Lorenzo Margiotta: Just 2 for me. The first one is on the longer-term space opportunity within Travel. I'm just wondering if you would expect to see an acceleration from the pre-COVID trends there. I guess I'm just thinking about the U.S., obviously, you're doing very well there. And also competition, I would guess, across the whole world is going to be lower for space. So do you expect that? And then related to that, in the U.S., can you -- are you taking share directly from the big 2 players in the market? Or are you more beating the tail? And the second question I had is just on the UK's VAT refund scheme changes or proposed changes. I'm wondering how that affects travel expenses, retailers and WH Smith, particularly, if at all.
Carl Cowling: Okay. Thanks, Lorenzo. In terms of longer-term space trends, I think to us, we feel pretty positive about that. It's been a difficult time for travel retailers, but it's been very difficult for single-category travel retailers, particularly. Because if your passengers are down 80%, your sales are likely to be down 80%. What we've been good at doing, because we have a number of categories, and we've been able to introduce new categories, is to improve our average transaction value and make more of those customers. I think that will free up space. And I'm certainly seeing that in lots of different areas around the world, both in the U.K. and in North America. And I think that will suit us. I think we will end up winning more space and better quality space. And certainly, in North America, there's lots of active discussions going on as we speak in terms of space opportunity. So whilst we wouldn't have wished this on ourselves by any stretch, I think we could end up coming out of this with a much better store portfolio over the next few years. But in terms of your question about where we're taking, we are taking it from the 2 big players often. So the space that we win is coming from Paradies, which is owned by Lagardère and from Hudson, which is owned by Dufry. And between those 2 players, they have 70% of the market. And the vast majority of retail space in U.S. airports will come up for tender over the next 10 years. So I feel reasonably confident that we're going to take some decent space there. In terms of the VAT refund changes, I mean it has -- it's a slightly annoying time to have it. The travel retail industry is -- has been slightly hit and then to introduce that is very difficult. For us, it's a very small part of our business. We're a business with a very small average transaction value. And actually, a lot of our categories don't have VAT on anyway. So I won't pretend it's not annoying and it doesn't affect us, but it's something that we will be able to manage our business around, and it's not something that you should worry about causing us a long-term issue.
Operator: Our next question is from Sam Bland of JPMorgan.
Samuel Bland: Can I ask 2 questions, please? The first one is on this sort of GBP 80 million of deferred rent and other payments. Will they be reflected in 2021 as a working capital outflow? And then should there be any other working capital movements to either outflows or inflows, either in addition or to offset them? And the second question is, I guess you're keeping in the High Street business, keeping more sites open this time than back in April and May. Presumably, that those additional sites that are being kept open are expected to be cash flow positive even in November. But just would love a comment on that, please.
Robert Moorhead: Sam, so in terms of the GBP 80 million, yes, that will get reflected through in working capital. It's a combination of rent, the restructuring charges and unpaid creditors. So that will all go through there. We'll end up going back into our normal working capital cycle where we have an improvement in working capital. So in the summer months, assuming there is a recovery in travel, it's very much travel-driven from that point of view. In terms of High Street and the effect even more sites open, yes, that will benefit. It will benefit the cash burn of GBP 20 million. And the more stores we keep open, clearly, the lower that cash burn will be and the closer we'll get down to the 5 to 10 number that we were quoting -- that we saw in October and September. It's not there at the moment, but it's -- given those stores are open, we're trading a lot better than the minus 87% that we traded at in the first lockdown.
Operator: We have no further questions, so I will hand back to your host.
Carl Cowling: Okay. Well, thanks, everyone. Thanks for taking the time to dial in. It's been a very big year for us, but I'd like to thank everyone for their support, and I think we've done a hell of a lot over the course of the last few months, and it will be good to see you all in the future. Thanks.